Presentation:
Operator:
David Layton:
Roberto Cagnati:
David Layton:
Joris Groflin Liebherr:
Operator:
David Layton:
Nicholas Herman:
David Layton:
Joris Groflin Liebherr:
Unknown Analyst:
Roberto Cagnati:
Joris Groflin Liebherr:
Roberto Cagnati:
David Layton:
Gregory Simpson:
David Layton:
Charles John Bendit:
David Layton:
Roberto Cagnati:
Sharath Ramanathan:
David Layton:
Sharath Ramanathan:
David Layton:
Joris Groflin Liebherr:
David Layton:
Operator:
Daniel Regli:
David Layton:
Daniel Regli:
David Layton:
Joris Groflin Liebherr:
Operator:
Oliver Carruthers:
Roberto Cagnati:
Operator:
David Layton:
Operator: